Operator: Good morning, ladies and gentlemen. And welcome to Martin Marietta's Fourth Quarter and Full Year 2020 Earnings Conference Call. All participants are now in a listen-only mode. A question-and-answer session will follow the company's prepared remarks. As a reminder, today's call is being recorded and will be available for the replay on the company's website. I will now turn the call over to your host, Ms. Suzanne Osberg, Martin Marietta's Vice President of Investor Relations. Suzanne, you may begin.
Suzanne Osberg: Good morning, and thank you for joining Martin Marietta's fourth quarter and full year 2020 earnings call. With me today are Ward Nye, Chairman and Chief Executive Officer; and Jim Nickolas, Senior Vice President and Chief Financial Officer.  As a reminder, today's discussion may include forward-looking statements as defined by United States securities laws in connection with future events, future operating results or financial performance. Like other businesses, Martin Marietta is subject to risks and uncertainties that could cause actual results to differ materially. Except as legally required, we undertake no obligation to publicly update or revise any forward-looking statements, whether resulting from new information, future developments or otherwise. Please refer to the legal disclaimers contained in today's earnings release and other filings with the Securities and Exchange Commission, which are available on both our own and the SEC website. We have made available during this webcast and on the Investor Relations section of our website, 2020 supplemental information that summarizes our financial results and trends.  In addition, any non-GAAP measures discussed today are defined and reconciled to the most directly comparable GAAP measure in our earnings release and SEC filings.  Ward Nye will begin today's earnings call with a discussion of our full year operating performance. Jim Nickolas will then review our 2020 financial results and liquidity position. After which, Ward will discuss market trends and our 2021 outlook. A question-and-answer session will follow.  I will now turn the call over to Ward.
Howard Nye: Thank you, Suzanne, and thank you all for joining today's teleconference. We sincerely hope that you and your families remain safe and healthy. By all accounts, 2020 was extraordinary for Martin Marietta, we're proud to have extended our long track record of financial, operational and safety excellence, particularly in a year filled with unprecedented disruption.  Martin Marietta set new performance records, delivering almost profitable year and the best safety performance in our company's history. These impressive results demonstrate our resilient business model and our team's commitment to Martin Marietta's vision and successful execution of our proven Strategic Operating Analysis and Review or SOAR plan.  As noted, today's discussion focuses on our full year results and 2021 outlook. Before doing so, I'll highlight a few notable takeaways from our record setting fourth quarter. Importantly, we achieved solid shipment and pricing growth across all product lines as construction activity stabilized from the spring and summer months when we saw a greater impact from COVID-19. These top-line improvements, along with our steadfast focus on cost controls, resulted in 7% growth in consolidated total revenues, 20% growth in adjusted earnings before interest, taxes, depreciation and amortization or adjusted EBITDA and a 40% increase in diluted earnings per share.  For the full year, we established new records for products and services revenues, profitability and adjusted EBITDA. Specifically, full year consolidated products and services revenues increased to $4.4 billion, consolidated gross profit increased 6% to $1.3 billion, adjusted EBITDA increased 11% to nearly $1.4 billion and diluted earnings per share was $11.54, an 18% improvement.  Martin Marietta's 2020 results marked the ninth consecutive year of growth in these financial metrics. Operating our business safely sets the foundation for our longstanding financial success. Martin Marietta's industry-leading safety performance continues to trend near or exceed world class safety levels. We achieved a 25% reduction in total reportable incidents across the enterprise in 2020. And for the fourth consecutive year, we achieved a company-wide world class lost time incident rate. These superior financial and safety results are directly attributable to the dedication and agility of our nearly 9,000 talented employees. I'm extraordinarily proud of how our team managed the challenges and disruptions caused by the pandemic while remaining focused on being good wingmen, working safely and efficiently together and seamlessly meeting our diverse stakeholders’ needs.  With that overview, let's now turn to our full year operating performance. Aggregate shipments declined 2% to nearly 187 million tons, reflecting anticipated lower infrastructure shipments in portions of North Carolina, reduced energy sector demand and headwinds from COVID-19 disruptions. However, in line with broader macroeconomic trends, full year aggregate shipments to the residential market increased, benefiting from healthy single-family housing activity. Aggregates’ average selling price increased 4% on a mix adjusted basis, in line with our expectations. Importantly, all divisions contributed to this solid growth, a testament to this product line’s resilient pricing power and our leading market positions in attractive geographies.  The disciplined execution of our locally driven pricing strategy, along with attractive underlying market fundamentals will continue to support sustainable pricing growth moving forward. Our cement operations established new records for shipments, which increased 2% to nearly 4 million tons. Large project activity supported underlying product demand in both North and South Texas throughout the year, offsetting weakness in the energy sector. Pricing increased 3% on a mix adjusted basis, demonstrating the resilient price fundamentals of core products in the State of Texas. We expect our cement business will continue to benefit from favorable shipment and pricing trends, supported by tight supply and healthy demand in Texas, diversified customer backlogs and April 2021 price increases. Turning to our targeted downstream businesses. Ready-mixed concrete shipments increased 3%, excluding shipments from acquired operations and from our Southwest division's former concrete business in Arkansas, Louisiana and Eastern Texas, which we divested in January 2020. Concrete pricing increased 2%. Our Colorado asphalt and paving business established a new record for asphalt shipments, increasing 15% to 3 million tons. This growth reflected solid underlying product demand together with carryover work following a weather challenged 2019. Asphalt pricing increased nearly 3%. I'll now turn the call over to Jim to discuss more specifically our full year financial results and liquidity. Jim?
Jim Nickolas: Thank you, Ward, and good morning to everyone. We concluded 2020 with the highest full year adjusted EBITDA margin in Martin Marietta's history. Driving this achievement was our Building Materials business, which delivered record products and services revenues of $4.2 billion, a 1% increase, and record product gross profit of $1.2 billion, a 7% increase. Our Upstream Materials businesses, namely, aggregates and cement, established all-time records for both full year product revenues and gross profit. Aggregates’ product gross margin expanded 130 basis points to 30.6%, a new record, and unit profitability improved 8%. These accomplishments, which resulted from strong pricing gains, disciplined cost management and lower diesel fuel costs demonstrate the cost flexibility and resiliency of our aggregates-led business. The Cement business benefited from the planned kiln maintenance outage that occurred through the end of 2019. The timing of that outage resulted in some expenses being recognized in 2019 versus early in 2020. More importantly, that and other capital investments have dramatically improved our cement operations. We achieved 90% kiln reliability this year, up from 82% in 2019, which facilitated increased throughput and fixed cost absorption at both our Midlothian and Hunter plants. These factors, combined with mix adjusted pricing strength and lower fuel costs, contributed to the 510 basis point improvement in Cement product gross margin to 37.8%. Our targeted downstream businesses also delivered solid full year financial results. Ready-mixed concrete product gross margin increased 10 basis points to 8.4% as pricing growth offset higher raw material costs. Asphalt and paving achieved gross profit of $60 million and a 100 basis point improvement in gross margin, driven by double-digit revenue growth. Our Magnesia Specialties business returned to revenue and profitability growth during the fourth quarter. The 12% top-line improvement in the quarter, however, was not enough to offset demand declines experienced earlier in the year. As a result, full year product revenues decreased 12% to $221 million. We anticipate fourth quarter strength in line with chemicals demand to continue in 2021, now that steel utilization has rebounded from last summer's COVID-19-driven trough and our cobalt customers are resuming activity. Impressively, product gross margin improved 80 basis points to 40.6% as we proactively responded to lower shipments with effective cost control measures. Turning now to cash generation, capital allocation and liquidity. Martin Marietta ended 2020 with the strongest cash generation in our history. Operating cash flow of $1.05 billion increased 9%, driven by earnings growth. We continue to balance our longstanding disciplined capital allocation priorities to responsibly grow our business while maintaining a healthy balance sheet and preserving financial flexibility to further enhance shareholder value. Our priorities remain: focus on value-enhancing acquisitions, prudent organic capital investment and the consistent return of capital to shareholders while maintaining our investment-grade rating profile. For 2020, we invested $360 million of capital into our business and returned $190 million to shareholders through both an increased dividend and the first quarter repurchase of 211,000 shares of our common stock. In August 2020, our Board approved a 4% increase in our quarterly cash dividend underscoring its continued confidence in our future performance and continuing Martin Marietta's track record of dividend growth. Since our repurchase authorization announcement in February 2015, we have returned more than $1.8 billion to shareholders through a combination of meaningful and sustainable dividends as well as share repurchases. We ended 2020 with a debt-to-EBITDA ratio of 1.9 times, slightly below our target leverage range of 2 times to 2.5 times, which offers us the flexibility to pursue accretive investment opportunities. Our solid balance sheet, combined with $1.1 billion of availability on our credit facilities, provides the financial strength for Martin Marietta to respond and to execute on disciplined capital allocation priorities and continue profitably growing our business. With that, I will turn the call back over to Ward to discuss our 2021 outlook.
Howard Nye: Thanks, Jim. Looking ahead, we believe 2021 will be a year in which we see a return to a more normalized state as underlying demand fundamentals reset and the nation's economy regains momentum. We remain confident in Martin Marietta's attractive business drivers and are encouraged by accelerating long-term secular trends across our 3 primary end-use markets and key geographies. We expect these trends to drive construction-led aggregates-intensive growth. Infrastructure activity, particularly for aggregates-intensive highways, roads and streets, continues to prove resilient. With the 1-year extension of the Fixing America's Surface Transportation Act or FAST Act at current funding levels, state and local governments have the visibility needed to plan, design and award transportation projects through the 2021 construction season. Importantly, estimated fiscal 2021 lettings for our top 5 Departments of Transportation, or DOTs, are currently above or near prior year levels. Keep in mind, our top 5 states: Texas, Colorado, North Carolina, Georgia and Florida, are disproportionately important to us, representing 71% of our 2020 Building Materials business total revenues. Additionally, DOTs were recently granted nearly $10 billion of targeted relief as part of the Coronavirus Response and Relief Act passed in December 2020 to help offset pandemic-driven transportation revenue shortfalls. This funding assistance has the benefit of no state matching requirements. Based on preliminary estimates, over $2 billion of this assistance will be apportioned to Martin Marietta's top 5 states. Over the medium to long-term, we anticipate voter-approved state and local transportation measures and passage of a comprehensive federal transportation program package to promote multi-year growth in product demand. In November 2020, voters sent a powerful message of support for state and local transportation investment approving 94% of ballot measures, the highest ever approval rating. These initiatives are estimated to generate an additional $14 billion in one-time and recurring transportation funding, of which 82% is in Texas, our top revenue-generating state. Bipartisan support exists for new surface transportation legislation aimed at increasing funding levels not seen in over 15 years, with both the United States House of Representatives and Senate previously advancing proposed bills. We believe this 117th Congress creates a path toward advancing a notable increase in funding over the FAST Act. We're optimistic that agreement on a new bill could be reached this summer, generating meaningful benefits in 2022 and beyond. We expect increased infrastructure investment to provide volume stability and drive aggregate shipments in that end-use closer to our 10-year historical average of 43% of our total shipments. For reference, aggregate shipments to the infrastructure market accounted for 36% of 2020 shipments. Non-residential construction should continue to benefit from accelerating e-commerce and remote work trends that require increased investment in heavy industrial warehouses and data centers, particularly in our key metros of Dallas-Fort Worth, San Antonio, Austin, Denver, Des Moines, Indianapolis, Charlotte and Atlanta. Importantly, this type of construction tends to be more aggregates-intensive than light commercial construction due to the size, scale and structure of these projects. Light commercial and retail construction will remain comparatively challenged until COVID-19 vaccines are more widely distributed. Over the longer term, light non-residential activity will benefit from the attractive collateral effects of strong single-family residential trends. Aggregate shipments to the non-residential market accounted for 34% of 2020 shipments. Single-family housing is poised for multi-year growth returning to more normalized levels during this economic cycle. We believe Martin Marietta's leading Southeastern and Southwestern footprint positions the company to be a notable beneficiary of these trends given underbuilt conditions, favorable population and employment dynamics, land availability, mild climates and lower cost of living in these regions. Single-family housing is 2 times to 3 times more aggregates-intensive than multi-family construction, given the ancillary non-residential and infrastructure needs of new suburban communities. Aggregates to the residential market accounted for 24% of 2020 shipments. In summary, we're confident in the fundamental strength and underlying drivers of our business. As disclosed in today's release, we've returned to providing full year annual guidance. We currently expect 2021 aggregate shipment growth to range from up 1% to up 4%, reflecting single-family housing strength, expanded infrastructure investment and heavy industrial projects of scale that will support our near-term shipment levels. We remain confident that our favorable pricing trends are sustainable, supported by improved contractor confidence and healthy customer backlogs. For 2021, we expect annual aggregates price increases, which become effective from January 1 to April 1, to increase in a range of up 3% to up 5%. Combined with contributions from our Cement, Downstream and Magnesia Specialties businesses, on a consolidated basis, we expect adjusted EBITDA of $1,350 million to $1,450 million. Keep in mind, when comparing this guidance range to prior year, we're not anticipating the same level of non-recurring gains from land sales and divested surplus assets as seen in 2020. To conclude, we're proud of our 2020 record financial results and industry-leading safety performance. We're also extremely optimistic about our future. Martin Marietta has a strong foundation, thanks to our solid balance sheet and the investments we've made in our assets, people and capabilities. Due to our work over the last several years, Martin Marietta is uniquely well positioned to capitalize on the emerging growth trends that are expected to support steady and sustainable construction activity over the long-term. Importantly, the disciplined execution of our strategic plan, coupled with our pricing discipline, operational excellence, prudent capital allocation and adherence to robust health protocols will continue to enhance Martin Marietta's solid foundation for enduring success. As we move forward, we have the resources, team and capabilities to drive value-enhancing growth. We're confident in Martin Marietta's opportunities to build on our successful track record of strong financial, operational and safety performance and remain focused on delivering superior returns for investors while meeting and exceeding our commitments to our other stakeholders, including our customers, employees and communities. If the operator will now provide the required instructions, we will turn our attention to addressing your questions.
Operator: [Operator Instructions]. I show our first question comes from the line of Kathryn Thompson from Thompson Research Group. 
Kathryn Thompson: Nice results today, given a tough market. Wanted to focus on Cement. If you could discuss the pricing dynamics you saw in the quarter, and importantly, your thoughts on both volume and pricing going forward? And then just really kind of a follow-up related to cement somewhat, which is more on infrastructure. Do you see any potential air pockets in lettings, given reduced revenues? And when might that be seen, if ever? And how might that impact cement volumes and also aggregate volumes?
Howard Nye: Well, Happy New Year to you, Kathryn, that's a mouthful. We'll walk through it. And let's talk about cement and pricing first. Number one, to see the cement price performance in Texas this year was actually affirming. If we go back over time and remember how we spoke about cement when we acquired it with TXI, we indicated we believe Texas cement pricing would start to act like aggregate pricing. That's exactly what we saw in this quarter. What I think is doubly important about that and impressive, keep in mind, for much of the year, we were not in a position to go and see our customers. So to see that type of performance on a mix adjusted basis is actually quite impressive. Keep in mind too, although you don't see it in the numbers, if we're looking at type 1 and type 2 cement, that was actually selling for closer to 4% up as opposed to 3% up. So if we're really looking at the bread-and-butter products, it looks really quite impressive.  If we look at overall cement dynamics in the State, Texas is a nice place to be in any heavy side building materials business. Because particularly for cement right now, demand outstrips supply, and that's always a good place to start. We think that's particularly going to be the case as we go through the year in North Texas this year. So again, that feeds directly into our operations in Midlothian. Equally, the marketplace that we're seeing around Hunter is actually quite attractive as well.  What we see from a volume perspective has been driven by a series of things. One, by some big jobs. So in the North, we're seeing Loop 12. We're seeing I-635, which is also known as the LBJ. If you go down toward South Texas, what's going on relative to the Grand Parkway has been nicely generative or utilizing cement and ready-mix and aggregates and all the way through. So we think the outlook is frankly as good as we just saw in Q4. If you're looking really more to what potential air pockets could be, I'll tell you very candidly, in Texas, we don't see it, Kathryn. A couple of things lead me to believe that. One, the FY '21 lettings in Texas are actually 25% over where they were last year. In other words, we're looking for about $9.5 billion worth of lettings. The other 2 pieces to keep in mind is the 2021 revenue streams that we're seeing either coming through Prop 7 and Prop 1 in Texas are really quite healthy. So we're looking at transfers of about $2.5 billion this year relative to Prop 7 and about $1.2 billion relative to Prop 1.  Something else that's worth keeping in mind, too, is when we were looking at the COVID relief that's called into different DOTs, Texas was the recipient of almost $914 million. Again, we spoke to the fact that those have not come encumbered with any particular state match. So for a state that already found itself in a very good position to have that extra money come in as well gives us a sense that we're in a very, very good place.  As an ultimate reminder, Texas has rained a fund of $10.5 billion that they have not tapped. So as we're looking at Texas, both near term, medium-term and long-term, we like very much what we see. So I hope that's responsive to your series of questions, Kathryn.
Operator: Our next question comes from the line of David MacGregor from Longbow Research.
David MacGregor: Congratulations, Ward, on a really good quarter. And a good outlook statement as well. It's nice to see guidance again. Just staying on Cement. I guess how are you thinking about the guide that you provided $460 million to $500 million, what have you got for price versus volume in there? If you could help me with that? And also, it appear that maybe there's limited operating leverage in that guidance as well. I'm just wondering if that's maybe some of the kiln expenses from 2020 that got pulled into 2019 if those come back and maybe that's why you leave it on the leverage. And just if I could also add to that, you must be feeling some pinch points in terms of capacity in cement at this point. And I'm just wondering how you're thinking longer term about your capacity footprint. Do you flex your shipments with import tons? Or do you invest capital either organically or through acquisitions in building your capacity? Or maybe you're just happy with what you've got. If you could talk about that?
Howard Nye: No, happy to, David. Thank you very much for your questions. We'll start with respect to pricing. So as we think about pricing in the Texas marketplace today, what we're seeing are price increases out there that have been put out. We put out a $9 a ton price increase effective in April. We've seen others that customers have shown us that have been closer to $6. So I think that gives you at least some base to think about relative to pricing for the year. I think equally, as we look at the likelihood of price increases hitting in different percentages, clearly, North Texas is going to look stronger than South Texas is. Central is going to be just fine. I think to your point, if it's going to be tight anywhere this year on cement tonnage, it's likely more in the Dallas-Fort Worth area, meaning Midlothian. And so we'll just have to watch that as the year goes on.  One thing I would ask you to do is, and that is you asked a very good question around capacity in Texas, because you're going back to the notion that right now demand is outstripping supply. As you know, we have an Analyst and Investor Day that's coming up later this month. We're going to talk about some of the very specific capital initiatives that we have underway. And I would ask you to wait and listen to what we have to say about that particular process when we're talking to you live later in the month relative to our cement outlook and our aggregates outlook in Texas. With respect to some of the other numbers that you mentioned, you're entirely right relative to rhythm and cadence around kiln maintenance. We did have a relatively lower number of kiln maintenance in 2020. If we're looking at the overall kiln maintenance spend in 2020, it was about $19.7 million. As we're looking to see what it's going to be into the new year, we are looking at a number that's going to be somewhat higher than that. We're looking more at about a $22.7 million number for total kiln maintenance in '21. And so we're looking at some of those puts and takes. But I think that gives you a sense of do we have capacity issues that we need to think about longer and medium term? Yes, we do. Are we in a circumstance that pricing is doing what we thought it would? It absolutely is. Are the dollars that we've put into the kilns having them run at a higher rate of efficiency? There's no doubt that they are.  So if we're looking at kiln reliability, as Jim commented in his commentary, they ran at 90% kiln reliability in the year just ended. The year before, it's at 82%. So we like very much the way that business is going operationally, the way that business is going commercially and what we feel like its future is. So David, I hope that was responsive to your question.
Operator: Our next question comes from the line of Trey Grooms from Stephens, Inc. 
Trey Grooms : So I guess, first off -- and I'm looking at the volume guidance for aggregates, and I appreciate your color and comments on the end markets. But especially on the infrastructure piece, you sound maybe more constructive on that side than we've heard in a while. First, I mean, I want to make sure I'm hearing that right because I'm hearing that you're expecting increased demand versus '20. And with that mix becoming closer to the historic average, even directionally that way implies decent volume growth in that end market. I know you mentioned some details around Texas, but could you touch on some of the other markets you're in, where you're seeing the strength that's given you that increased confidence in that end market?
Howard Nye: No, happy to, Trey. Thank you very much. As you indicated, we've walked through what some of the numbers look like in Texas. As Jim indicated in his prepared remarks, if we look at Texas, Colorado, North Carolina, Georgia and Florida, those states comprise around 71% of our revenue. So those states are going well, a lot of things good happens for Martin Marietta. As I indicated, I won't go back through all the details that we hit, but we're looking at Texas lettings up 25%. Let's go through the others and I think that will give you a sense of why we've got the degree of confidence that we do. Colorado, which, as you know, in '20 had just a spectacular year. I mean, you heard us reference the fact that our asphalt and paving business in that State had a record year. We're looking at a DOT program in Colorado that we believe is going to be flat year-over-year. And what I'm about to tell you is when we're looking at our top 5 states, yet the worst that we're seeing anywhere is flat, that's not a bad place to be coming off of a record year. So if we're looking at the $10 billion COVID stimulus, about $134 million of those dollars is finding its way to Colorado, which we believe is to bring their DOT program up about even with where it was last year. Now by contrast, our home State, North Carolina, did not have a particularly good year last year. We think North Carolina DOT is in a far better position. And as you know, if we look at this State, historically, it has not only been one of our most profitable. It's been one of our most consistent as well. So we think North Carolina is trending back into an area that makes much more sense for us. To give you a sense of what that means, the FY '21 lettings projection is about $1.3 billion. That's $670 million better than I think people would have expected when they were looking at it last year. The other thing that's important to keep in mind is North Carolina did issue $700 million of build in C bonds. So again, as we're looking at the near-term future of North Carolina, we're really very pleased with that. One thing I will mention as well, the NC First Commission, which I was a part of here in North Carolina, looked at really how North Carolina needs to think about its investment in infrastructure over the next 10 years. And our view was they needed to put at least $20 billion more in infrastructure in the State. So the State is looking at ways to do that. But that's clearly longer term than just this year. If we go to Georgia, again, we think Georgia is relatively flat year-over-year. But if you look at where that State has been sequentially, if we go back to 2016, you'll see a budget that's gone from about $1.7 billion to one that's about $2.1 billion. And then the other thing to keep in mind is Georgia still has ahead of it the major mobility investment program. And the overall goal of that is to have a number of very large projects, about $12 billion to be more specific, underway by 2025 and completed by 2030. And then, of course, the last, the top 5 states is Florida, they're looking at their spending to increase about 20% year-over-year. So again, if we look at the top 5, Texas is better, North Carolina is better. Florida is better and Colorado and Georgia are broadly flat. So when we look at that type of trajectory on something that's around 71% of our revenues in those states, I think that's part of what gives us the confidence that, that we have and the volume outlook that we've offered today.
Trey Grooms : All right. Ward, if I could sneak one in just for clarity. There was a question about the cement and the maintenance, and you talked about some color around that and some details, which was helpful. On the ag side, Jim, this might be for you. Is there anything there -- obviously, diesel is not going to be the tailwind you experienced in '20. But is there any other cost outside of diesel coming off the year like 2020 when, I mean, from a margin and cost standpoint, you and the team did a great job there. Is there any catch-up on costs that are baked into your guide? Or anything we should be aware of on that front?
Jim Nickolas: Good question, Trey. Now we are anticipating, otherwise, hitting a 60% incremental target for next year, but for the diesel headwind. So our incremental is around 40% because of diesel. We've got about $30 million of higher expense from higher oil prices coming through. And we would add 60% but for that. So -- but otherwise, our costs are well behaved. Quite -- we're expecting them to be sort of well controlled as they were in 2020. We expect that to continue. Hold on to the gains we saw in 2020 and build on those 2021.
Operator: Our next question comes from the line of Anthony Pettinari from Citi.
Anthony Pettinari : Ward, on the full year outlook, is there any way we should think about the quarterly cadence of volume growth implied in the guidance? Do you still expect kind of sharper year-over-year volume declines in the first half and then kind of inflecting into the second half? Or any kind of finer point you can put on that?
Howard Nye: As we look at it, and I think part of what you heard us say earlier, I mean, we're back to the point that we put in full guidance again. So I think that gives you a sense that we've all found a way to manage through this. And I think to that end, Anthony, what I would suggest is a normal rhythm and cadence is probably broadly the right way to think about this. I do think there's going to be a degree to which you'll see some of it that's going to be modestly more in the back half as opposed to the front half. Obviously, Q2 and particularly Q3 were the 2 quarters that were most impacted by COVID. By the time we got to Q4, in many respects, we had a lot of this figured out. And certainly, we had more favorable weather in Q4. So I would look broadly at a rather normal rhythm and cadence, slightly heavier toward half 2 as opposed to half 1. I hope that's helpful.
Anthony Pettinari : That's very helpful. And then, I mean, to your point, I mean, the volumes have held up better-than-expected over the last 12 months. In terms of what could get you to the high end or the low end of that 1% to 4% aggregates volume guide, is private commercial, is that the biggest question mark for you? Or do you think residential could slow down in the second half? Or are there any particular states? Just wondering if there's maybe a few swing factors for you when you think about 2021 that could get you to the high end or the low end?
Howard Nye: That's a great question. Here's how I would catch in that. I think we've got a good sense of what public is going to look like, and we think public is going to look better. And I think we have a good sense of what residential is going to look like, and residential is going to look better. And residential is particularly going to look better with respect to single-family. We believe single-family as a percentage of overall housing will return to more normalized percentages. In other words, it's going to be about 80% of housing in the United States. And when we see single-family housing at 1 million starts or 1.1 million or 1.2 million, I will tell you, that's a pretty healthy place for our business. Because here's what happens. That's evidence of new neighborhoods being built. And so if you think about 2 cities that are important to us, think about Atlanta and think about Dallas, both tend to be North-South cities, both tend to be growing more North than South. So what that means is, years ago, you were growing North from Dallas to Plano, now you're growing from Dallas to Frisco and now you're going to be moving North from Frisco to North of Frisco.  As we see new communities come-in in Frisco or as they go into Alpharetta or other places North of Atlanta, new communities need the follow-on effect that you get in non-residential. Now history tells us, depending on geography, that can have a 6 to, let's call it, an 18-month lag behind it. If we're seeing single-family growth in communities and you've got a 6-month lag on that, that can start pushing you toward the higher end of our volume guidance. Because if we think about the different end uses, res infrastructure is going to be better. Residential is going to be better, particularly single-family.  As we land on non-res, as we said comparatively the toughest of the 3 end uses, the heavy side of that, we believe, is going to be good. With warehousing, data, et cetera, all of which are very aggregates-intensive. So some of the swing side to the upper end of that is going to be relative to the drag along effect of the light portion of non-res that we believe will follow continued single-family growth. So that was a mouthful. And I apologize if that was a mouthful, but I hope that was followable.
Operator: [Operator Instructions]. Our next question comes from the line of Jerry Revich from Goldman Sachs. 
Jerry Revich : Ward, I'm wondering if you could talk about how active your M&A pipeline is at this point? And how much is uncertainty around what tax rates could look like? How is that playing into your appetite for M&A and the overall impact on the M&A market as you see it? 
Howard Nye: Jerry, thanks for the question. What I would say is, if you look at what M&A has done for Martin Marietta through the SOAR years, and by that, I mean, from 2010 today, M&A has been our preferred methodology of growth. It has served us and our owners well. We think it will continue to serve us well. When we think about M&A, we think about it in a long-term strategic view. At the same time, we're not going to go into transactions that we know are not going to be near term attractive deals for us either. In fairness, typically, we're not going to take tax rates much into account in the way that we're looking at M&A. Because we feel like getting the right deal in the right market is the most important thing that we can do for our company near term and long-term. It allows our teams to grow. It allows our company to grow. It lets us grow into markets that we think will be attractive. And at the end of the day, where we believe we can have leading positions.  As you'll recall, we have a leading position in 90% of our markets today. 10 years ago, we had a leading position in 65% of our markets. We're going to be looking at M&A through 2 different lenses. We're going to be looking at it in bolt-on acquisitions in markets that we currently exist. But equally, we will look at potential platform acquisitions in markets in which we would like to grow. As a reminder and we've not been shy about this, we've long talked about the 2050 regional planning that shows what growth is going to look like in the United States between now and 2050. And the short answer is the country is going to add about 140 million people over that time period, and 70% of them will land in one of 11 mega regions. And so if you watch the mega regions and see what -- where they are and if you look at our footprint, the likelihood is we will continue to want to be focused in those mega regions, either with bolt-ons or with platforms.  Relative to our M&A pipeline and our team, they would like to sleep more. But the short answer is they're very busy people right now. They are very talented people. And we're very grateful for them. And our intention is to do all that we can to keep them tired and hungry.
Operator: Our next question comes from the line of Nishu Sood from UBS. 
Nishu Sood : So I wanted to ask about -- this has obviously been unusually volatile time for the industry, coming off a quarter in which volumes were quite affected by the pandemic. Do you think there was any effect in 4Q of maybe some deferrals, projects that might have been affected by the pandemic being completed in 4Q? And obviously, with the milder weather, it would have been conducive to that. Do you think that had any effect on 4Q?
Howard Nye: Nishu, number one, welcome back. It's good to hear your voice. Number two, with respect to your question, I'm sure that we would be naive not to assume that there was some that would have been pushed into Q4, simply because Q3 would have been more impacted and the weather was favorable. So I think that's certainly a possibility. What I think we saw more of though is the build of some momentum and saw nice momentum going into four. Experience tells me that contractors are finishing a year in which they don't have good confidence in the next year. Rather than hurry up, they tend to slow down because they want to make sure that they have plenty of work for their workforces as they come into a new year. So what I would say too is, I mean I think that's certainly possible, Nishu, but I equally think what we're seeing, particularly relative to single-family housing and what's tending to follow it and then the overall health of the DOTs in the states in which we are operating, I think those are coalescing to give nice momentum in 4 that we believe persists into '21.
Operator: Next question comes from the line of Phil Ng from Jefferies. 
Philip Ng : Ward, can you provide a little more color on bidding activity and how your backlogs are shaping up broadly. But certainly, any color, particularly on non-res and maybe some of these energy projects that you have talked about in the past that may have gotten pushed out, are you seeing some of that come back as well?
Howard Nye: Phil, thanks so much for your question. What I would say is the customer backlogs are looking fairly similar in many respects to where they were last year. One thing that's worth remembering is the backlogs really, at this time of the year for customers, only represent about 20% to 35% of what people really think their shipment needs are going to be. But what I would say is overall aggregate tons are modestly up as we talk to our customers right now. If we look at cement tons, they're actually up double-digits right now. If we look at Magnesia Specialties, they're actually up double-digits as well. So I think part of what's important to remember, Phil, is we're going into '21, two parts of our business that have historically been very good, steady parts of our business, meaning North Carolina and Magnesia Specialties did not have the best years in '20 and are both looking at considerably better years coming into the year in '21.  So as we're looking at overall backlogs, they look really quite good for us. The only area that our backlogs are notably off would be in portions of Colorado. And what we're seeing in Colorado, and I think this goes back to your question, is actually right now a very good level of bidding activity in that State. So as we mentioned, we're coming off what was a record year last year in Colorado. And we anticipate it coming into '21, that would almost have to be modestly slower. As I indicated in some of the earlier questions, with some of the COVID money that is coming to Colorado, DOT numbers are broadly even, and now we're seeing much better bidding activity. So I guess what I have to say on that, Phil, is more to come. But I try to give you what we feel like is a good march across the enterprise to give you a sense of where we think customer backlogs are.
Philip Ng : Any color on the new projects you've talked about that got pushed out maybe?
Howard Nye: Yes, the large energy projects, it's going to be interesting to see because, obviously, we're seeing energy pricing come back in ways this year that we anticipated that they would. I think part of what we had anticipated is until we started seeing that we were likely to see a slowdown on those jobs. We think we're likely to see those take off more in 2022. We had picked up very recently some volume on one of those projects in South Texas. So again, I think there are no big surprises, and there's nothing markedly different there than we spoke of as we really ramped up the year last year. Although it does look near term modestly brighter on some of the commitments that have been made over the last few weeks.
Operator: Our next question comes from the line of Courtney Yakavonis from Morgan Stanley.
Courtney Yakavonis : Maybe if you could just comment on -- within the quarter -- I think you gave for the full year, what, your infrastructure and resi was up. Infrastructure, I guess, you mentioned North Carolina being down, but can you just comment what it was in the fourth quarter by end market? And then in light of the comments that you would expect more typical seasonality for the first half versus second half next year. Can you just help us think about if there's going to be any difference between how you would envision those end markets returning to growth next year, if it shall be starting in the first quarter? Or some of those will be more back half loaded?
Howard Nye: Courtney, number one, welcome. We're delighted to have you here in this group and nice to have your question, too. If I think about end uses, here's the way I would think about it. I'd rather just talk about from a full-year perspective, Courtney, because I think that's probably a more directionally appropriate way to look at, at least from my seat in the bus. Infrastructure ended up last year to about 36% for us. Non-res was tight for infrastructure at 36%, and residential was at 24%. So that gives you a pretty good snapshot of what volumes look like for the year. What I would tell you is, I think 36% for infrastructure is awfully low. That said, an end-use that ought to be in the low to mid-40s. I certainly believe with what we're starting to see from our leading states right now -- and again, we've not built in a long-term highway bill into anything that we're talking about relative to '21. But if our states continue investing the way that they are and we see a long-term bill come through from the federal government, we think that 36% moves up toward the 40% number and maybe even ahead of that, that would feel more logical to us.  If we look at non-res at 36%, that's an odd one to me, and I'll tell you why. Historically, if we look at non-res, it would have been very consistent at about 30% of our volume. And that would have historically been a pretty clear defining break with non-res light being about half of that and non-res heavy being about half of that overall 30%. Year just ended, it was 36%. But here's what's happened. Clearly, the light portion of non-res has gone up. The heavy portion of non-res has gone up. But the irony is that heavy portion of non-res is really heavy right now. So what we're seeing is in data warehousing and the other delivery products that we're having, the sheer aggregates intensity of heavy non-res is richer than we've ever seen before. That is actually serving to fill, in large measure, the tonnage hole that would otherwise be left when we look at what's happened to hospitality, retail, et cetera. So that gives you a sense of where that is.  Now residential last year at 24% is a relatively high number. That's probably the highest single res number that we've ever seen. To give you a sense of what it looked like, at absolute May here, it’s about 7%. Now what's happening is we're seeing res at 24% of our volume, but we're not seeing residential starts at a particularly high level, at least relative to a 50-year snapshot of it. What I think is most telling is back to the portion of the dialogue that we had before relative to what's happening with single-family residential within the overall residential snapshot.  In the recovery that ended with COVID's arrival, single-family housing was about 67% of overall housing activity. If we look at, what, 20, 30-year averages, it tends to be closer to 80%. That's what we're starting to see today. So again, as we think about what end uses look like on a percentage basis for '20 and the way that we think they're trending for '21, again, infrastructure, 36% in '20; non-res, 36%; res, 24%. As we move into '21, should we see infrastructure move up? I think we probably should. Will we see non-res move around a little bit, but probably not huge numbers? Probably so. Do we think res will be pretty consistent? The answer is yes. I also think it's worth noting that the railroads have said that they intend to be back to relatively normal levels of maintenance and repair as we come into the year. That's important because the ChemRock and Rail portion of our business, which covers not only the rail portion but what we sell to farmers as agricultural line in the Midwestern United States can be 8%, 9%, 10% portion of our business. As agricultural prices have continued to get better, our outlook for ag line, I think, will continue to improve. So Courtney, I threw a lot of data at you for the first time on the call. I apologize for that, but I hope that was helpful.
Operator: Our next question comes from the line of Garik Shmois from Loop Capital. 
Garik Shmois : Ward, given your optimism in new infrastructure spending going through in the middle of the year, some of the large growth figures associated with it, how should we think about the timing around the new funding showing up in your volumes? Is it unrealistic to think that it could be a 2022 driver or is it more 2023? And can you speak to the DOTs’ maybe ability to handle such a potential step-up in funding? Is there enough capacity to handle increase in revenue? It's a good problem to have, just kind of wondering how quickly you can see this benefit you?
Howard Nye: No, I agree, Garik. I think those are great questions. So I would say several things. One, I do think most DOTs today have utilized their engineering and planning and eminent domain resources over the last several years to have themselves in a position that they're better placed than I would say at any time in my career to be able to take these funds and move with them. And I think part of that is going to be underscored by what they're going to be doing with the COVID relief dollars they've got as well. I mean to give you a sense of it, if we look at the COVID relief dollars all by themselves, out of the $10 billion, we're looking at $900 million, million to Texas; $134 million to Colorado; $260 million to North Carolina; Georgia is getting $323 million; Florida is getting $473 million; Iowa, $123 million; Indiana, $238 million; South Carolina, $167 million; Maryland, $150 million; and Nebraska, $72 million. So those are nice, big numbers going to those states.  So if we look at what they're going to be able to do with that in '21, we think they're going to be able to put most of that to work. To the extent that we see a highway bill that is in some form of pass by the time we get, let's call it, toward half year, we believe you start seeing some degree of pull-through in that in '22. But we equally believe what you're going to see is a nice built from that in '22. And we believe that's going to give at least the single biggest, most consistent in use that we have a nice multi-year run.  What I think can happen, Garik, is this notion of having perhaps infrastructure funding at levels that we haven't seen ever before and the nicest increase that we've seen in 15 years, together with what we feel like in our footprint is going to be a continued expansion in single-family housing and then also following these corridors of commerce that we've so intentionally built our business around, we think it does set the industry generally up but we think it set Martin Marietta specifically up for what could be a very nice multi-year volume trend. So Garik, I hope that was helpful.
Operator: Our next question comes from the line of Adam Thalhimer from Thompson Davis.
Adam Thalhimer : Hey, Ward, when you think about M&A, how open would you be to buying a vertically integrated company versus pure-play aggregates?
Howard Nye: Adam, good morning, it's good to hear your voice. I guess what I would say, Adam, is it all depends on the player. We're specifically driven by markets, what we think are attractive markets, the position that we would have in that market and what we think we can do with the business. So here's the way I would encourage you to think about that. When we swapped out of the River business, when we swapped out of a pure stone business and we swapped into a vertically integrated marketplace, we didn't do that on that day because we lost any conviction in aggregates. This is an aggregates-led company. So what you should always expect us to do, wherever we're looking at M&A is for it to be aggregates-led. That's the important thing to remember. But what I think you and I recognize is there are some markets in the United States that do tend to be vertically integrated. And if you want to be in an attractive market that's vertically integrated, you better be in a position that you have competencies around stone, and at times, ready-mix, and at times, hot mix asphalt.  So would we consider it? Of course, we would consider it. But are we going to be very picky about the market? We will. And I think what you've seen from our track record is when we go and do that, what we've been able to do is add considerable shareholder value in the process.
Operator: Our next question comes from the line of Paul Roger from Exane BNP Paribas. 
Paul Roger : I think most of the questions have been asked. I've just a follow-up on the downstream side of the business. I think if we look historically, downstream pricing and margins tend to be a bit more volatile than cement and aggregates. And historically, I've struggled a little bit if hydrocarbon costs are going up. Looking at your range and the middle of the guidance, it looks like you're expecting sort of flat margins this year. And I just wonder if you can comment on what gives you confidence that, that will be achievable in, particularly in ready-mix?
Howard Nye: Paul, thank you very much for the questions. It's good to hear your voice, and hope you're well in the UK. Paul, I think if we look at where our downstream businesses are, that's what gives us the confidence in those. Keep in mind, we have downstream businesses in Colorado where we have ready-mix and we have asphalt, and we have downstream in Texas where we have ready-mix only. And I think what we're seeing is, particularly in Texas, a good amount of bidding not only on private work that's tied into residential but also in public work on some large projects. So as we look at what we believe is happening in that marketplace, even despite what can be some of the raw materials cost particularly on the energy side, I think we feel like that we can maintain those. Equally, if we look at our business in Colorado, that's really one of the better ready-mix markets in the United States. We see actually a pretty significant delta in ready-mix pricing in Colorado versus what we see in ready-mix pricing in most of Texas. And again, the hot mix asphalt and paving business that we have in Colorado, I think, is really one of the better hot mix asphalt and pavement businesses in the United States. It's got very high barriers to entry in that marketplace. And part of what we're seeing in that marketplace, too, although we're not experiencing it, but others are, Paul. There are some depletion scenarios on stone that are underway in portions of the front range. Martin Marietta is not affected by that.  We've got nice long-term reserve positions. But what we've done in that marketplace to, one, have good long-term reserve positions; but number two, make sure we have a nicely spread out distribution system is what's going to allow us to maintain margins in those downstream businesses. At the same time, part of what you'll see, if you look at the downstream businesses, is the raw materials piece of it does appear to be going up. And in large measure, that's because we're selling ourselves some raw materials in those businesses. And we recognize that the value of aggregates is very valuable, and it's getting more valuable each year. And we're going to make sure that even when we're doing those internally, we're doing it in a very equitable fashion because we want to treat our internal customers and our external customers exactly the same way, Paul. So hopefully, that's helpful.
Operator: Our next question comes from the line of Stanley Elliott from Stifel. 
Stanley Elliott : A question for you. With the change in administration, do you guys see anything working through the committees on the regulatory environment that would either add cost to the process, maybe slowdown in the construction markets at all? And then kind of a more broad thought, with the discussions around a $15 minimum wage, not really for you all, but for the customer contractor, what sort of disruptions that might cause, if any?
Howard Nye: Yes. Great question, Stanley. The fact is we haven't seen anything coming through right now that we feel like it's going to be widely disruptive to what we're doing. I do think we're going to see considerably more ESG factors built into maybe not one big bill. I think you're going to see it built into most bills that come through. And by the way, we're perfectly okay with that. If you think of it from this perspective. One, a lot of it's going to be geared towards safety activities. You can see what our numbers are. We do that extraordinarily well. The other thing that I would tell you, you can go and look at the sustainability report that we put out, what you'll find out is that to the extent that we have greenhouse gases, we have 400 operations across the United States. Really, only 4 of them have any degree of notable GHG issues and that means 84% of our GHG issues come from 4 locations, which tell us that we've already set out really robust targets between now and 2030 on how we intend to deal with those, and we publish those annually.  So as we're sitting here and looking at what we feel like could be a higher regulatory market, we don't feel like we're seeing things right now that will be negatively impacting our business. Do I think it might make barriers to entry more difficult in our business, in the back? It may. Is that something to lament? I'll leave that to you. If you've got 90 years of reserves at current extraction rates, I'm not sure that's something that we're particularly concerned about today. The other thing that I will say is, to the extent that it increases costs, the simple fact is we can usually deal with that on the commercial side because we would typically see pricing going up. And the other thing that I would say is at least right now, our customer base is not complaining about a lack of available employees. What you remember, Stanley, is a couple of years ago, there was a trucking shortage. There was a labor shortage. Right now, we're not seeing that in our space. So logistics are working relatively well, and contractors are in a position that they can do what they need to with their projects day in and day out. So hopefully, that tick off the items that you listed, Stanley?
Stanley Elliott : You sure did. And you guys really do have a nice safety record. So congrats on that and best of luck the rest of the year.
Operator: Our next question comes from the line of Rohit Seth from Truist Securities.
Rohit Seth : Just getting on something you mentioned in the last question. Back in 2018, we had a pretty sharp spike in inflation in the second quarter. And the fiscal stimulus that we have out there today, there could be some supply tightness out there. I'm just curious, how do you plan on defending your margins should that reoccur in the second quarter this year?
Howard Nye: Well, Rohit, it's good to hear your voice. Thank you for the question. If you go across our footprint and you look at what cost of goods sold look like for us, the primary thing that you're going to see is the single biggest cost of goods sold that we have is labor. It's our employees. Then you're going to find a series of others that tend to be in the aggregates business around 12% to 15% of our COGS. That will be things like supplies, other inventories, what's happening with respect to maintenance and repair, et cetera. So if we go back over time and look at what we have done relative to our employee base, the way that we pay them, the tenure that they have, we don't see an inflation situation relative to wages that is anything that we're concerned about.  With respect to maintenance and repair, what you'll see as well is if you go over let's call it the SOAR years, you'll find that we've been very consistent with the way that we deployed capital in our business. What you'll see from that is the continuing thoughtful management of maintenance and repair.  Now one thing that you will see that went up a bit last year is some degrees of DD&A. And DD&A was up in large measure due to what we have done to invest responsibly in the business. So the one item -- and I'll ask Jim to speak to it very specifically, that we think could be a bit of a headwind this year is relative to energy and more specifically with respect to diesel fuel. Because clearly, we've seen that move around a little bit. Diesel fuel was a fairly notable tailwind for our company and for our industry all during 2020 that persisted into Q4. So I'll ask Jim to speak to that.  The other thing I'll ask Jim to speak to is what we saw relative to the sale of some excess properties last year that will likely not repeat. So I think from a inflation perspective, that's going to talk you about energy, but I also want you modeling to be thinking about what we're not going to do or at least replicate relative to land sales.
Jim Nickolas: Yes. Sure. So we've got currently forecasted a headwind of $30 million for higher diesel in 2021. WTI is, I think, $58 per barrel, I think I saw this morning. That's the average price that was out there in 2019. So effectively, we're going back to that level of diesel pricing as far as we can tell. So that's already in the forecast. And frankly, that we're holding on to our margins from 2020 and slightly building on those. So we're content in that environment to maintain margins and then offset diesel pricing.  As it relates to the land sale gains that Ward referred to, we had those very large gains in 2020, $70 million worth of gains. Those were hard thought and very much enjoyed, but they are not going to be repeating this year. So as you model out your numbers, we just ask that you look at 2020 EBITDA as a core, maybe pull up as land sale gains and not build on those as repeating into 2021.
Rohit Seth : Understood. And then on transportation costs, I'm seeing trucking costs going up a bit. What are you thinking there? Is that just a nominal grower? Or are you seeing any above normal growth there?
Howard Nye: No. Look, I think we'll just see some fairly typical growth in transportation. We're not particularly troubled by that. And keep in mind, most of the transportation, particularly on the quarry side, we're selling stone to quarry. So we're counting on the customers to make transportation arrangements. And typically, when they pick up the stone, risk of loss leaves us as it goes up the scales.
Rohit Seth : Understood. So in 2Q '18, it was really just about -- it was diesel and transportation, but there's nothing else to really think about.
Howard Nye: I think that's entirely correct, Rohit.
Operator: Our next question comes from the line of Josh Wilson from Raymond James. 
Josh Wilson : Most of my questions have been asked, but I did want to make extra sure I understood the Cement margin commentary. I understand the year-on-year comparability issues with the outage. But it looks like the margin actually declines between the low and the high end of your guidance. Can you elaborate on maybe if there's some costs you would bring back at businesses at the high end of your expectations?
Howard Nye: Let me ask Jim to respond to that. But yes, go ahead, Jim.
Jim Nickolas: Yes. From a cost perspective, natural gas is one of our inputs for fuel. That was pretty benign in 2020. We're forecasting that cost to go up slightly in 2021, and that's where you're seeing the margin slightly degrade year-over-year. Does that answer your question?
Josh Wilson : I was talking about the high and the low end of the '21 guidance.
Jim Nickolas: Yes. Well, the natural gas -- I talk about revenues or margins?
Josh Wilson : Margins.
Jim Nickolas: Margins. Yes. So natural gas is an input for our Cement business to fire the kiln, and we're forecasting those costs to go up.
Howard Nye: So what's going to happen as a practical matter, Josh. If we look at energy overall for the aggregates business, it's going to tend to be about 12%. And of that, diesel fuel is going to be about 8% of that. When we look at energy overall for the Cement business, it's a much larger percentage of the overall cost of goods sold for Cement. And it's tending to be in the 20% range for overall energy. So I think that probably helps bridge that a bit for you.
Josh Wilson : And if I could just sneak in one other. Your CapEx guidance is about the same as you initially started in 2020. Is that a good long-term number as well as we think about the cash potential as we get into an infrastructure bill?
Jim Nickolas: I think it is. We had started out there last year, as you pointed out. And then COVID brought in the level of uncertainty, and we pulled back quite a bit on CapEx 2020. We restored it in 2021. I think 9% -- 8% to 10% of sales is a rough proxy of where our CapEx sits. So you can kind of scale as the business grows, our CapEx will grow accordingly. So $450 million is probably not a bad number to be at. It's a little bit higher than we've been at recently. But again, we brought it down in 2020. So it’s quite not a bad number to be at going forward.
Operator: Our next question comes from the line of Timna Tanners from Bank of America. 
Timna Tanners : I'm sure you'll talk about this also at your upcoming Investor Day. But the big thing that sticks out to me in looking at your high-quality problem of these very strong cash flows is what you're going to do with them going forward. So I just wondered if you could just remind us of your priorities. It sounds like you're excited about M&A. You do have a little more CapEx you just talked about. But what does it take for the Board to consider more buybacks or increased dividend? If you could just remind us about that?
Howard Nye: Happy to, Timna. So thank you so much for the question. It's good to hear your voice. Our capital priorities haven't changed, and that is the -- we feel like the best first on our spend is on the right transaction. And several years ago, I remember, we were coming into a year and we said that we thought it could be a year of some notable transactions for the industry. I think the prospect is this could be a year of some notable transactions. We've tried to have ourselves financially and regulatorily in a position that if large transactions or notable transactions or attractive ones came along, we would be in a place that we could play. So if we think about our best first dollar spent, that's it.  Next, we're looking at assuring that we're investing responsively in the business. And if you look at what we've been able to do through cycles relative to CapEx, and as Jim was just indicating, we think we have treated the business really quite well. And if we look at what that has allowed us to do relative to our cost performance, we think that we have been largely outperforming. And then third, to your point, and your very good question is, a return of cash to shareholders. And we've done that through two very different ways, Timna. Number one, we've had a meaningful and a sustainable dividend. And we think both of those words are really important.  So one thing to keep in mind, I believe we're the only heavy side building materials company who can say this, we've never cut a dividend. So the fact is, we've been able to maintain a dividend all the way through cycles. And what's important is this company, even in August, when the world was faced with all the uncertainties from COVID-19, we raised our dividend by 4%. And if you go back and look at where we were the year before that or the year before that, you'll find even bigger increases. So clearly, our Board is going to come back and look at the dividend in August.  As you’ll recall as well, when we bought TXI, we issued 20 million shares of stock to combine the companies together. Shortly after that, our Board took the view, okay, our shareholders were good enough to give us license to go and do this with a very high percentage shareholder vote. We're going to make sure over time, opportunistically, we come back and take that dilution back. And we've been on that journey. We've got about 15 million shares left in that authorization. We want to continue chipping away on that. But the conversations we've had with our shareholders have tended to be, if you have the ability to do the right deal, that's where we want you to be. And these are conversations that we're always very frontal with our shareholders because they're our owners at the end of the day. And we want to make sure that we're meeting their needs and their expectations. But that's the priorities. That's how we're looking at it, Timna. So again, I hope that's helpful.
Operator: Our next question comes from Adrian Huerta from JPMorgan.
Adrian Huerta : Yes. Most of my questions were answered, but just very quickly on -- if you can comment a little bit on how the first quarter is looking. I mean, usually, we see volumes down sequentially 10% to 15% in the first quarter. Yes -- but we are ending with a very strong volume in the fourth quarter. Given what you have seen so far with whether it's an activity, et cetera, can we expect at least the same guidance that we have seen in the past?
Howard Nye: Adrian, I really appreciate the question, and it's a good one because here's the dichotomy that we find ourselves in. Last year when most companies were withdrawing guidance, they were certainly encouraged to be forward-leaning and be even more forthcoming into what they might see in the coming months. Part of what we're so pleased with is we feel like we're back in a more normalized state, trending to an even more normalized state, and because of that, we've reinstituted guidance. And our practice has always been, if we had guidance in place to make sure that we were really sticking very close within the four-walls of the quarter in which we're addressing. So I'll talk a little bit -- well, I'll talk a lot more about January when we're together and we're reporting the full -- the quarter results. I'll say this much, part of what we thought was important, was ending the year with momentum, and we thought that we would see it carry into the year. So we'll talk more about the first quarter when we come up with results. But I wanted to give you a sense of why, unlike at least the last two calls, we're not rushing to talk about the month that we're in right now.
Operator: Next question comes from the line of Michael Dudas from Vertical Research.
Michael Dudas : So Ward, just quickly, you mentioned about the $10 billion in the allocations there in certain states on the relief funds, the DOTs. And some pretty good numbers for some of the states that are not in your top five. What are the 2 or 3 area or states you look at going and you look at the plan of 2020 that could be generating positive surprises from you generally in the business and maybe more so if some of that funding were to flow more aggressively into those states on the infrastructure side?
Howard Nye: Look, thank you very much for the question. I think 2 states that we'll particularly watch and they were important states to us last year. And candidly, they don't get depressed, but they should. Indiana had a fantastic year last year. The management team that we have there just ran that business like a Swiss watch last year. And Indiana is getting $238 million more, and they've got a very good highway program there. The other business that performed extraordinarily well last year, and this shouldn't be a surprise to anyone, is the business that we have in Maryland in the aftermath of the Bluegrass transaction. Again, Maryland got $150 million coming into that marketplace as well.  So we've talked about how important Texas, Colorado, North Carolina, Georgia and Florida are, those are 1 through 5. But again, if we see the type of performance, I think we can expect to see in Indiana and what we might see in Maryland, those could be some very nice surprises coming into 2021. I'm not even sure we'd say surprises, but I think that could give some potential nice upside. 
Operator: Our last question comes from the line of Brent Thielman from D.A. Davidson.
Brent Thielman : Ward, just a question on the North Carolina public sector, in particular, just because the deficit in whole and lettings last year was so significant, do you feel like you've already felt the brunt of that in the business? Are you anticipating the spillover effect from that, recognizing that obviously, it's in recovery and lettings have forecast to pick up this year? Just want to get a sense of how you're thinking about the spillover into '21?
Howard Nye: No, I think that's a great question, Brent. I would say several things. One, we went into '20 with some of the best backlogs we've ever had in North Carolina. And so that allowed us to weather a pretty challenging time in our State. Now I'm probably going to jinx this right now, so I shouldn't say this, but right now, we've had no harsh winter weather in North Carolina either, which means let's face it. At the end of the day, we really don't want to see DOT having to move snow off roads in North Carolina. So I think it's a practical matter of seeing resurfacing projects go, seeing the $700 million from billed NC bonds and utilizing that and a much healthier bidding circumstance on top of the backlogs that we have, make weathering what we've already done much better. And I think it does outline a much brighter 2021 and certainly 2022 and beyond in North Carolina.  So we feel like we have been through the toughest period by far. And that we're going to see the State begin to perform much more in line with what our historical expectations would have been. So Brent, I hope that helps.
Howard Nye: Well, thank you all for joining our earnings conference call today. Built on our solid foundation of past successes, we're confident in Martin Marietta's prospects to drive continued sustainable growth and shareholder value in 2021 and beyond. We look forward to discussing our first quarter 2021 results in a few months, and importantly, sharing our strategic priorities with you at our coming Investor Day on February 25. Registration details for this virtual event will be available soon. As always, we're available for any follow-up questions. Thank you again for your time, for your continued support of Martin Marietta. Please stay safe and stay well. Take care.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.